Operator: Good day ladies and gentlemen and thank you for your patience. You joined the Q3 2017 Roku Earnings Conference Coon Call. At this time, participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would like to turn the call over your host, Mr. James Samford at Investor Relations. Sir, you may begin.
James Samford: Thank you. Good afternoon and welcome to Roku's financial results conference call for the third quarter ended September 30th, 2017. I'm pleased to be joined on the call today with Anthony Wood, Roku's Founder and CEO; Steve Loughton, our CFO. And Scott Rosenberg, our GM of Advertising will be available for Q&A. The following discussion including responses to your questions reflects management's views as of today November 8, 2017 only and we do not undertake any obligation to update or revise this information. Some of the statements made on today's call are forward-looking and are based on our current expectations, forecasts, and assumptions, and involve risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of Roku, including expected financial results for the fourth quarter and the future growth of the business. Our actual results may differ materially from those discussed on the call for a variety of reasons. Please refer to today's shareholder letter and the company's filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You'll find reconciliation of non-GAAP measures to the most comparable measures discussed today in our shareholder letter which is posted on the company's Investor Relations website at our ir.roku.com. I encourage you to prodigally visit our IR website for important content. Finally, unless otherwise stated, all comparisons on this call will be against those results of a comparable period in 2016. Now, I'd like to turn the call over to Anthony.
Anthony Wood: Thanks James, and thanks everyone for joining our first earnings call. We had an outstanding quarter and I believe that we are on-track to reach or exceed $500 million in revenue this year, a big milestone for Roku. We are more excited than ever about our streaming platform, our competitive position in the industry, and a massive shift of the TV ecosystem to streaming. The Roku story may be relatively new to many of you, so I'll recap some highlights. I'll then hand the call over to Steve to review our results and our outlook. I've also asked Scott Rosenberg, GM of our Ad business to join us for Q&A. If you haven't already done so, please take a look at our third quarter shareholder letter posted on the IR website for more details. TV and TV advertising is in a massive shift to streaming and billions of dollars are moving to new platforms and services. When the Internet disrupts large existing businesses, the opportunity emerges to create a new large scale platform. That is what Roku is, the leading platform for streaming TV in the U.S. Many of you probably first learned about Roku through our popular streaming players and Roku TVs, but buying Roku device is simply the beginning of the relationship we have with our viewers. Almost 90% of our gross profit comes from our advertising, audience development, and content distribution services in our platform segment. This segment is driving our strong gross profit and revenue growth. The platform segment grew 137% this quarter and our ad business, which contributed two-thirds of our platform revenue, grew even faster. As we add more content publishers like DirectTV Now and as our content partners enhanced their streaming channels like Hulu Live and we make a wealth of free ad-supported content available, users continue to use the Roku platform more and more. Our value proposition to content publishers and advertisers is clear. Roku is a large-scale platform that monetizes the hard-to-reach and valuable TV streaming audience. Many streamers started their OTT experience with ad-free services like Netflix, but ad-supported content is the fastest growing segment on the Roku platform and free is one of our most popular searched terms. To better service our viewers and advertisers, we launched The Roku Channel in September. It features tons of great movies and TV shows, all free, ad-supported. And while it's still early days with The Roku Channel, we are pleased with the progress so far. The Roku Channel is already a top 20 app in The Roku Channel Store in just the first month since it launched. We grow our active accounts primarily by licensing to TV manufacturers and selling our streaming players. In the third quarter, active accounts were up 48% year-over-year to $16.7 million, with over half of new accounts coming from license sources in the quarter. To put a scale on perspectives, if Roku were a traditional cable company or a service operator, we would be the fourth largest in the country. The one consumers move to streaming and the income of the video distributors said viewers; Roku's account base has been consistently growing to over 40% year-over-year. Our Roku TV program has great momentum and is contributing to our scale. At the end of last year, one out of every eight smart TV sold in the U.S. were Roku TVs, made by brands like TCL, Insignia, and Sharp. So far, this year, one in five smart TV sold in the U.S. is based on a Roku TV reference design and our operating system. Our low-cost reference design is a key advantage for our TV manufacturing partners who benefit from lower building materials costs and investing purpose-built TV operating system. I'm very pleased with the progress we're making with our license programs like Roku TV and Roku Powered. In fact, we hit a new milestone this quarter with over 50% of new accounts coming from license sources. Roku is the leading streaming platform in the country based on streaming hours. But why is that? It's because we are focused on winning customer reviews and word-of-mouth using a purpose-built for TV Roku operating system. If you look back in time, operating systems rarely, if ever, made the transition from leading on one type of computing platforms or leading on another. For example, Microsoft Windows became the OS for PCs mainframe operating systems, Android and iOS became the operating system for phones, not Windows, we believe Roku is very well-positioned to maintain its lead as the OS for TV streaming. We've been busy getting ready for the holiday sale season and we believe that we're well-positioned. We just refreshed our entire streaming player lineup to excellent reviews. For example, our Streaming Stick+ just won CNET Editor's choice Award. We've been working with our Roku TV partners to launch lots of new TV models. A great example we're proud of is the progress we've made with one of our partners, TCL. By combining TCL's huge manufacturing scale and great picture quality, with the Roku OS, TCL achieved the number two spot for U.S. smart TV sales in September and is number four year-to-date in 2017, up number 19 for the full year 2014. That's pretty amazing. Streaming is mainstream, and a huge market. We believe every TV will one day run a streaming OS and what we're seeing now is just the beginning. I'll now turn it over the Steve to discuss Q3 results and our Q4 outlook.
Steve Louden: Thanks Anthony. Q3 was indeed a great quarter. The full details of our financial results and key operating metrics are available in our shareholder letter. So, I'll focus my comments on key trends in the business and our outlook for the fourth quarter. Unless otherwise specified, all comparisons are on a quarterly year-over-year basis. As Anthony mentioned, our growth strategy involves growing scale, growing engagement, and growing monetization. Our key metrics that measure our progress are active accounts, which is defined as the accounts that have streamed in the last 30 days, streaming hours, and average revenue per user, or APRU, which we define as trailing 12-month platform revenue divided by the average active accounts at the end of Q3 2017 and the end of Q3 2016. Active accounts grew 48% to $16.7 million with over 50% of new accounts coming from licensed sources, primarily Roku TVs. Streaming hours for the quarter were up 58% to $3.8 billion. And ARPU increased 37% year-over-year to $12.68 on a trailing 12-month basis per account with the largest and fastest growing portion of that coming from video advertising, which includes 15 and 30-second video ads inserted on ad-supported channels, as well as audience development ads that our content publishers use to acquire subscribers or to promote their content, like the recent Game of Thrones Home Screen takeover when HBO launched the new season. The streaming industry continues to move in our direction as OTT advertising adoption and IP distribution of content trends continue to drive our rapid growth. Turning to our results, total Q3 revenue increased 40% year-over-year to $124.8 million and year-to-date revenue through Q3 increased 29% to $324.5 million. Our focus is on gross profit growth, which we generate primarily from the higher margin services businesses in our platform segment growth. Gross Profit increased 92% to $49.9 million and year-to-date gross profit through Q3 increased 65% to $126.4 million. Gross margin expanded 11 percentage points to a record 40% as we continue to benefit from a mix shift to our faster growing higher margin platform segment. Operating expenses increased 44% to $58 million, resulting in an operating loss of $7.9 million, an improvement compared to the loss of $14.1 million last year in Q3. Adjusted EBITDA loss improved $7 million year-over-year to a loss of $3.7 million in Q3, down from a loss of $10.7 million in Q3 last year. Turning to our segments, platform revenue grew 137% year-over-year to $57.5 million with the largest contributor coming from advertising. Our platform segment represented 46% of our total revenue, up from 27% last year. Platform gross profit grew at an even faster pace, up 156% year-over-year to $44.6 million and represented 89% of our total gross profit dollars in Q3, up from 67% last year. Platform gross margin of 77% increased five percentage points year-over-year, driven by a favorable mix of higher margin owned ad inventory. While Q3 was a great margin quarter, we expect the source of inventory to be more balanced in the fourth quarter, thus bringing platform gross margins back down closer to 70% in Q4. We acquire accounts through our operating system licensing programs, both Roku TV and Roku Powered, which are our fastest growing sources of new accounts and through the direct sale of our streaming players. In the third quarter, player sales generated $67.3 million in revenue, up 4% year-over-year. Our Q3 player revenue benefited from a strong new product lineup launch at the end of the quarter with a more powerful Roku Express and a new 4K HDR Roku Streaming Stick. We are leveraging our cost advantage to strategically drive down the prices of streaming players to drive account growth which we monetize over the life of the account. A highly successful low price Roku Express remains very popular and was a key driver of our 35% year-over-year player unit growth in the third quarter, but was also a big contributor to the 23% year-over-year decline in player ASPs and lower player gross profit dollars. We're happy to make the tradeoff of player revenue growth for faster account growth as we view this as an attractive account acquisition path and we believe our low cost leadership in the industry is a competitive advantage. Player gross profit dropped 38% year-over-year, with player gross margin down five percentage points year-over-year to 8%. In addition to the pricing mix dynamics discussed, we also gave incremental discounts to clear the way for the new product lineup launch at the end of the quarter and we had some incremental airfreight costs that directly impact the gross margin. We will continue to focus on account growth, streaming hours, and APRU as key metrics and our low cost player strategy, combined with our Roku TV strategy are clearly working to drive these higher. Operating expenses increased 44% year-over-year to $57.8 million in the third quarter, largely driven by headcount growth with a 57% year-over-year increase in R&D expense. We continue to see tremendous opportunities to invest in future growth and strengthen our leadership position in the streaming ecosystem and we'll continue to reinvest a large portion of our gross profit back into innovation and platform development. Our net operating loss for the quarter was $7.9 million, an improvement from our net operating loss of $14.1 million in the third quarter of 2016. Adjusted EBITDA loss of $3.7 million improved $7 million year-over-year compared to $10.7 million loss in the prior year. As a percent of revenue, adjusted EBITDA loss improved nine points year-over-year to three percentage points. GAAP net income loss of $46.2 million and EPS loss of $8.79 a share includes the one-time non-cash $37.7 million expense related to the change in fair value from our preferred stock warrants to common stock as a result of the IPO and does not account for the conversion of preferred shares into common. Adjusting for this one-time non-cash item, pro-forma EPS loss was $0.10 based on basic and diluted share count on an as if converted basis, an improvement compared to the $0.17 loss in the third quarter last year on the same basis. Please see our shareholder letter for GAAP to non-GAAP reconciliations. We ended the quarter with $67 million in cash and cash equivalents and $23 million of term debt. After the end of the quarter, we received approximately $135 million in net proceeds from the IPO and have subsequently paid down the term debt. With that, let me turn to our outlook for Q4. Based on what we know at the time of this call, we are providing the following Q4 outlook. For the fourth quarter 2017, we expect to generate total net revenue between $175 million to $190 million, up 24% year-over-year at the midpoint. Total gross profit between $58 million to $64 million, up 37% year-over-year at the midpoint and adjusted EBITDA ranging from negative $6 million to breakeven or negative 2% as a percent of revenue at the midpoint. Please see our shareholder letter for GAAP to non-GAAP reconciliation items included in our outlook. We plan to provide Q1 and full year 2018 guidance on our Q4 earnings call in February, but I want to provide a quick reminder about seasonality. As you can see from our Q4 outlook, there is a significant seasonality to our business with nearly 36% to 38% of total annual revenues typically coming in the fourth quarter. Revenues typically decline sequentially in Q1 and we expect this trend to continue in 2018. Overall, Roku remains on a compelling trajectory with robust year-over-year topline growth, expanding gross margins, and increasing operating losses. And while we continue to make significant investments against several strategic initiatives, if trends persist, we expect to reach EBITDA breakeven or better in 2019. And now, I'll turn the call over for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mark Mahaney of RBC. Your question please.
Mark Mahaney: Great. Thank you very much. Congrats on a nice -- really nice quarter out of the gate. Three questions please. First could you talk about the drivers of that ad revenue? And if you could maybe qualitatively talk about the difference in the drivers; volume, access to inventory among some of the OTT ad-supported channels and pricing. So, just peel that that ad revenue back a little bit. Secondly, in terms of the tradeoff between the player gross margins and the active accounts, any updated thoughts on the guard rails you want to put around those margins? How low are you willing to run those gross margins? Or does it make sense to actually run it at a negative gross margins given the big boost you're seeing to active accounts? And then third, just if you'll talk briefly about what are the major toggles that would cause EBITDA to reach breakeven earlier or later than what you're looking at than what you just talked about in fiscal 2019? Like what's going to be key there for you figuring out when to take that to breakeven? Thank you.
Anthony Wood: Hey, Mark thanks. This is Anthony. I'll turn it over to Scott in a second to answer your question about ads, but in terms of players, we don't have a specific plan on how low we would take gross margin and what makes them fair. So, I don't really have any color to add. But we know -- but our strategy is working. Active accounts grew 48% year-over-year and players are a big contributor. So, we're happy with the way things are trending there. In terms of ads, Scott, do you want to talk about some of the drivers there?
Scott Rosenberg: Sure. Hi Mark, this is Scott. In terms of the key drivers of our ad revenue this quarter, ad attributed to a couple of factors. One is we continue to make great inroads with agencies we've written upfront or annual commitments with two other major holding companies. We continue to have great progress penetrating TV buying teams who control, of course, $70 billion of ad spend. We've had great progress in some of the newer ad products. One of our goals as an ad team is to bring innovation to the table, so our sponsorships category has really been strong in Q3. In terms of CPMs and pricing, we continue to drive them as I think we've mentioned in the past, we sell in the $30-plus CPM range and we continue to see good growth there as we layer in more products and capabilities.
Anthony Wood: And I think in terms of the EBITDA breakeven, Steve, do you want to--?
Steve Louden: Yes, hey Mark, it's Steve. Yes, so in terms of the trajectory business, we feel very good about the business, robust pipeline growth as we continue to mix over to the platform segment that's faster growing higher margin. So, continued gross margin expansion there has been helpful. As you know the -- on the OpEx side, we are investing significantly into a massive opportunity and that is largely headcount-based. So, in terms of the levers that are related to the EBITDA trajectory, we feel confident in the guidance about 2019, but really it's the relationship in terms of how fast that gross profit dollars are growing and the margin is expanding relative to the investment, right. So, that's really what would tweak the timing of the breakeven trajectory.
Mark Mahaney: Okay. Thank you, Anthony, Scott, and Steve. Thank you.
Operator: Thank you. Our next question comes from Ben Swinburne of Morgan Stanley. Your line is open.
Benjamin Swinburne: Hi. Thank you. I have two questions. Anthony could you talk a little more about The Roku Channel, which is obviously off to a great start. Just -- that's a little bit of a different business and that you're getting in the -- sort of your own content that you're monetizing directly with the consumer licensing and/or sharing it with studios. How big of a business do you think that can be for you over time? And does it create any complexity in your conversations with all your other partners on the content front who are sort of in that business I just wondering if you could talk about, sort of, the opportunity and also how it may or may not change your relationships with other players? And then I have a follow-up for Steve.
Anthony Wood: Sure. So, the -- yes, so The Roku Channel addresses a couple of different areas for us. One is -- and just to set the record straight, there's lots of content in The Roku Channel that is also available on other apps on our platform. So, it doesn't it doesn't compete directly with existing content partners. Instead it provides a new way for existing content partners to reach audience and monetize their content. I mean there's 5,000 apps on Roku, many of them are free ad-supported that many customers just not willing go look in every app. So, one point of The Roku Channel for us is to start doing a better job of merchandising and recommending content with content first UI for our customers. So, that's -- and that helps our existing channel partners. Roku -- the other point about studios, I mean Roku is a large scale publishing platform and we see that over time, a lot of content will become -- will come directly to Roku -- published directly on Roku through a mechanism we call Roku Direct Publisher. I mean there's a lot of content out there that's not being monetized, that is owned by companies that don't have direct-to-consumer marketing ability, don't have ad sales team and would love to monetize that content on the big streams -- on the big streams. So, that is another purpose of The Roku Channel. And I guess, finally, the third point of The Roku Channel is that consumers want free content. Free is one of the top search terms on our website. Consumers are looking -- when they move -- when consumers moves to streaming, they -- obviously they want a better experience, but they're also looking for better value. And so that -- so free is important and The Roku Channel really addresses that. So, yes we think -- I mean we're -- I'm super bullish on The Roku Channel. It's just the beginning of a big strategic effort for us.
Benjamin Swinburne: Right. And maybe if I can just be a little greedy and ask a follow-up to that -- for you or Scott. Is an hour of viewing on The Roku Channel worth more to Roku than an hour of viewing on other ad-supported engagement on the platform generally speaking as a rule thumb?
Scott Rosenberg: This is Scott. I'll answer it qualitatively. One of the benefits of Roku bringing forward a channel like The Roku Channel is we fully control the playback experience and we can optimize it to be a great consumer experience and a great opportunity for advertisers. So, The Roku Channel brings forward all the advanced ad tech that we put into our operating system and it lets us sell at premium rates. It also integrates sponsorships so we can create new opportunities for brands within The Roku Channel. It's -- in our opinion, it's one of the best ways to monetize ad-supported attention on our platform.
Benjamin Swinburne: Okay, that's helpful. And then just Scott, -- I mean Steve, excuse me; I think I did this right. It looks like the guidance for the fourth quarter implies a pretty decent gross margin step-down from Q3 to Q4 in platform. I think you mentioned mix of inventory driving that. Can you just remind us why seasonally Q4 has maybe more rev share advertising versus O&O versus Q3 just -- maybe that would be a helpful color?
Steve Louden: Yes sure Ben. So, based on my prepared remarks, Q3 had a relatively high percentage of owned -- Roku-owned inventory and that is at very high margin and then we also help content publishers sell their inventory. So, we're a great source of demand for them. Then we share the revenue back for them. So, there is a margin differential between Roku-owned and partner inventory that we sell. In Q4, there's a significant step-up just in the overall Roku business, both on the player side and the platform side. And in specifically, in advertising, there's a big step-up in the number of impressions and so we are helping the content publishers sell -- we're asked to help them sell more of their inventory and hence the mix shifts back over to a more balanced first Roku-owned and partner-owned which puts a little headwind on the overall gross margin for advertising and thus platform segment. And as you know from this quarter, platform was 89% of the overall gross margin. So, as the platform gross margin goes, so goes the company gross margin.
Benjamin Swinburne: Sure. That makes sense. Thank you.
Operator: Thank you. Our next question comes from Mark May of Citibank. Your line is open.
Mark May: Hey guys. Thanks. I had a couple -- just back on the platform gross margin, you commented obviously around Q4, but maybe if you could just talk a little bit about how we should be thinking about that longer term? And how the mix of the various inventory sources may likely trend over time and how we should be thinking about long-term platform gross margins? And then in the quarter just looking at sort of average streamed hours per account, just -- which I think was 8% year-on-year. How are you seeing the new Express users in terms of their propensity to stream average hours relative to, sort of, your existing customer base?
Anthony Wood: This is Anthony. So, I'll -- why don't I talk about the Express hours first and then a little bit of -- about platform and turn that over to Steve. So, hours are growing strong as consumers shift their viewing to streaming and watch more and more of their household viewing on streaming, we see per user hours growing. I don't have anything specific to comment on Express. I would add a little color I guess about Roku TVs. Roku TVs we are seeing, at least, in some of the early data that Roku TV customers do stream a little bit less than streaming box customer. But they're still a great -- they're great customers, they still stream a lot and we often have lot of ways and we have other ways to monetize TVs that we don't actually have on streaming boxes. For example, every interaction with your TV starts with a Roku Home Screen where we run ads. We have technology like ACR that we're starting to use to monetize traditional linear TV viewing as well as our traditional streaming viewing monetization. So, in terms of the platform business, it's going extremely well. As both big parts of our platform business; advertising and content distribution, were really doing excellent in the quarter and both have grown nicely. And I'll turn it over to Steve to maybe add some color on trend.
Steve Louden: Yes, hey Marl, it's Steve. So, we'll have -- as mentioned in the prepared remarks, we'll have some more detail on the outlook for 2018 in our next call, but just give you some qualitative thoughts on the platform makeup. So, if you remember platform is ad, content, distribution, and then a little bit of licensing in there. So, ads is two-thirds, it's growing. It's the fastest growing piece within platform. Content distribution is the -- majority of that remaining third, and then there's a little bit of licensing from the Roku TV and Roku Powered program. Most of that value is on the balance sheet and deferred revenue. So, if you think about the components within advertising, you have audience development, which is -- a great example of that is our home screen ads and that tends to be very high margin, within video ads which is the biggest piece within advertising. As we talked about in the other question, we have Roku-owned inventory which is very high margin. Example of that is inventory we get through as an inventory split for distribution of channels that have -- are ad-supported and then we help our partners sell their inventory, and then we rev share back on that so that has higher COGS than the Roku-owned. And then we also have content sponsorships which tend to have a high margin. So, a lot of what's involved in the margin trends of the platform segment is really around the mix; mix of the ad business relative to other parts of the platform segment and then within the ad business, the mix between primarily the Roku-owned inventory as well as the third-party inventory, but can also be the relative growth rates associated with how fast video ads are growing versus audience development or sponsorships. So, really it’s the moving pieces and the mix between them that largely determines the overall margin profile of the platform segment.
Mark May: Thanks.
Operator: Thank you. Our next question comes from Laura Martin of Needham. Your line is open.
Laura Martin: Guys great quarter. Thank you for over delivering. All these sessions [ph] and I love this engagement number you guys are showing. So, a couple of things. One is your -- just got a little bit of a revenue headwind as we sort of mark down the player revenue which you were telling us about, but I'm very interested in the breakeven economics of that. So, if you take $10 off a player, I get the fact that what you're playing for is the annuity stream of the ongoing revenue that comes from that customer, does that take a 12-month breakeven to get back that $5, $10 discount you gave on the player two years or three years. How do you guys think about the breakeven that justifies lowering the upfront player costs? And then for you Scott, I'm really interested in endemic advertisers which as you think about your whole ad pie. What I'm sort of asking is what -- like categories, like is it travel or is it -- normally I would ask like travel or consumer product. But what I'm really -- what I want to know is how many are endemic that are just advertising their channel on Roku versus how many are -- what I would call normal branded advertisers? And what are growth rates of the two categories? Thanks.
Anthony Wood: Hey Laura thanks. This is Anthony. In terms of active accounts and players specifically, active accounts growth is strong. We have 48% year-over-year increase in growth in active accounts coming from both players and Roku TV. One way to think -- one way I think about it is that both of those sources of new accounts are in essence negative customer acquisition cost. We get paid a license fee from Roku TV partners when they ship a Roku TV and we get a positive gross margin when we sell a player. So, -- but you're right, that our primary objective of the players is to sell as many as we can and unit sales were up 35% year-over-year in the quarter. One of the levers we use to increase sales is price. And so coming out with a great -- product of a great value is important to us, but -- and the platform business does support lowering the margin on players. The ARPU increased 37%, for example, year-over-year on the platform business. So, there's no -- currently there's no sort of period to make up gross margin on players. Those players are positive growth margin for us. And then on the sources of ads on our platform, I'll let Scott talk about that.
Scott Rosenberg: Hi Laura. Great question.
Laura Martin: Hi.
Scott Rosenberg: On the -- as you might expect on the endemic front or entertainment clients, we certainly over-index there. We're an entertainment platform and so whether it's an app promotion for an app on our platform or theatrical tune-in virtual MVPD, those class of advertisers spend significantly with us and it's a great category for us because it's very data-driven. We can predict based on behaviors on our platform how users are likely to engage that content. But it is not a majority of our ad revenues. A majority of our ad revenues do derive from traditional advertisers and we're active across every ad vertical out there whether that's travel, financial, services, QSR, CPG, retail. And that's because those are huge categories and we are a TV platform first and foremost. So, every TV advertiser is investing in OTT across all categories. We're already now by the way about half of all top 200 ad age advertisers are now investing Roku.
Laura Martin: Okay. And you're not seeing any downdraft in CPG or retail because you're just too early in the growth curve?
Scott Rosenberg: Sorry, can you repeat that? We're not seeing any down -- what's that?
Laura Martin: Downdraft in CPG or retail?
Scott Rosenberg: You mean because of changes in those categories themselves?
Laura Martin: Yes.
Scott Rosenberg: Yes, I'm just not -- I don't have that data, but I would say those categories are big for us as well alongside all the other categories.
Anthony Wood: I mean the big trend is that we're still in very early days in billions of dollars of traditional TV advertising that's moving to OTT to follow their viewers.
Laura Martin: Perfect. Thank you.
Operator: Thank you. Our next question comes from Ralph Schackart of William Blair. Your question please.
Ralph Schackart: Good afternoon. Thanks taking the question. Just on platform revenue, I think you called advertising being about two-thirds of the revenue mix in the quarter. Can you give us a sense of how that compared to last year and how that sort of progressed through 2017? And then as a follow-up to that, can you give us an update of what percent of hours streamed were from ad-supported content? And then also how that would have compared from last year? And I have a follow-up.
Steve Louden: Yes, hey Ralph, this is Steve. Thanks for question. So, in terms of platform revenue, yes, ads are about two-thirds of the platform revenue. It is the fastest growing piece. We haven’t specifically talked about the historical breakdown, but it has been gaining share pretty consistently driven by the video ad business within ads, which is -- as Scott and Anthony talked about is a massive opportunity that we're at early days. So, it has been growing the fastest and we think there's a huge opportunity for that to continue. And so we're very happy with the progress there.
Ralph Schackart: And then maybe just on the ad-supported channel question?
Steve Louden: Yes, so ad-supported -- I mean, in general, viewing on Roku that includes ads continues to grow and there's still a lot of upside in streaming our growth on Roku as consumers spend more and more of their time watching streaming versus traditional linear TV and our view is that a big chunk of that's going to go to ad-supported content just like ad-supported content is a big chunk of mainstream traditional TV viewing.
Ralph Schackart: Anthony maybe a follow-up. Just -- could you give us a sense of what you're getting from your retail channel partners and maybe the OEMs for this holiday season, maybe more specifically within the player and smart TV category? And then sort of how Roku is positioned this year versus last year?
Anthony Wood: I mean Roku is positioned well. We just launched an entirely new line of products. The Roku Streaming Stick+ plus won CNET Editor's Choice Award. TCL in September was the number two seller of smart TVs in the country, selling more smart TVs than any TV companies, expect for Samsung. So, we've got a lot of new models. We'll see, but I think we're well set for the holidays.
Ralph Schackart: Okay. Thanks.
Operator: Thank you. Our next question comes from Jason Helfstein of Oppenheimer. Your line is open.
Jason Helfstein: Thanks. Two questions. So, on The Roku Channel, did it have any impact on ARPU this quarter or just because the launch too late to matter and do you think it will impact ARPU in the fourth quarter? And then another question, Roku Channel outside of Roku on tablets and browsers, any thought and then to the extent that that strategy is going well, would you consider M&A for assets to bolster The Roku Channel and that strategy overall? Thanks.
Anthony Wood: It's still early days in The Roku Channel. Did it contribute to ARPU? It probably did a little bit because we -- it's doing well for a brand new channel and I think it is premature to talk about Q4. I guess the big picture I think is that we think that The Roku Channel is, sort of, the beginning of a shift in content viewing -- or at least a lot of content viewing away from apps and into content first user interface and we think The Roku Channel is a great a great way to do that. And so we're very bullish on The Roku Channel and we're going to keep investing in it. And I don't have any comments on taking it off Roku or M&A.
Jason Helfstein: And then maybe one follow-up. Do you think you saw any pull-forward of active accounts or increase in streaming activity given the publicity generated by the IPO?
Steve Louden: Jason, can you repeat that, we're having a hard time hearing you?
Jason Helfstein: Do you think -- as a result of the publicity generated by the IPO, do you think you saw any pull-forward in active account activations or picked-up increase in streaming usage?
Steve Louden: Okay. Hey Jason this is Steve. I wouldn't attribute any significant change based on the IPO. The IPO was late in the quarter regardless, but Roku has got a great consumer brand and we've been the leading streaming TV platform. Our active account growth has been robust, 40%-plus for a while. It was a little higher at 48% this quarter and that was really driven by the Roku TV business, really in a kind of middle to late part of the quarter around back-to-school. So, I think that is unconnected to the IPO. Although, certainly the IPO, there was great pressure on the IPO itself.
Anthony Wood: This is Anthony. I think the main effect of the IPO was to increase awareness among investors and others about what Roku's business really is, that we're a platform business that we're becoming a large ad platform and in a big way to distribute content. And our real business -- and the streaming players that we make are awesome, but they're just one of the ways we acquire accounts.
Jason Helfstein: Thank you.
Operator: Thank you. At this time, I'd like to turn the call back over to Anthony Wood for any closing remarks. Sir?
Anthony Wood: Yes. Well, thanks everyone for dialing in for our first earnings call. We had a great quarter. We were super happy. It was a milestone quarter for Roku. We more than doubled the size of our platform business. We refreshed the entire line of players. We released Roku 8 with exciting new features for Roku TV. And we expanded our reach significantly. So, it's a great time to be in the streaming business. And thanks everyone.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. And have a wonderful day.